Operator: Good day, ladies and gentlemen, and welcome to the second quarter 2010 ACCO Brands earnings conference call. My name is Keisha, and I'll be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) I would now like to hand the call over to Jennifer Rice, Vice President of Investor Relations. Please proceed.
Jennifer Rice: Good morning, and welcome to our second quarter 2010 conference call. On the call today are Bob Keller, chairman and chief executive officer of ACCO Brands Corporation; and, Neal Fenwick, executive vice president and chief financial officer. Slides that accompany this call have been posted to the Investor Relations section of accobrands.com. These slides provide detailed information to supplement this call. Our discussion this morning will refer to results for continuing operations and on an adjusted basis, which for 2009 excludes all restructuring and other charges, and for 2010 applies the normalized effective tax rate of 30%. A reconciliation of all adjusted results to GAAP can be found in this morning's press release. During the call, we may make forward-looking statements. And based on certain risk factors, our actual results could differ materially. Please refer to our press release and SEC filings for an explanation of those factors. Following our prepared remarks, we will hold a Q&A session. Now, it is my pleasure to turn the call over to Mr. Keller.
Bob Keller: Thank you, Jennifer, and good morning everyone. Earlier this morning we released our second quarter results. And I'm pleased to report that we continue to make solid progress in growing both sales and profitability, all while maintaining good control of our expenses. In spite of the challenging economic environment, we delivered our third consecutive quarter of profit growth and our second consecutive quarter of top line improvement. Our reported net sales increased 4%. And for the first time since the fourth quarter of 2006, we saw volume growth as well the volume up 5%. We recorded sales increases in all three of our operating segments. And most of our geographies are a reflection of our share gains, our improved customer relations, our focus on category management and improved demand, specifically for our durable products. Our gross profit margin expanded 200 basis points, compared to last year's second quarter. And operating income increased 14%. EBITDA increased 11% to $38 million. And per share earnings were $0.09 versus $0.11 in the prior year quarter, with the decline due to higher interest expense. In spite of the headwinds in the marketplace, we've made significant improvements in every area of our business, from our financial stability to our operational metrics. But we believe we have significant opportunity to be a much stronger company. At any end, we've recently made some organizational changes that will improve our ability to compete on a global basis, make us more agile in the marketplace, and more responsive to our customers. It will also generate efficiencies in our operations that will help us better control our costs and allow us to invest more in our future. First, we have more closely integrated the Kensington Global computer products business with the larger office products business, created new distribution channels for Kensington products, particularly in Europe. This will also allow us to take full advantage of the talents of our European computer products team in support of our office products business. Related to this integration, we've asked Christopher Franey, we've brought into the business 18 months ago to run our Kensington business, to take new responsibilities as president of ACCO Brands International. The computer products business will continue to report to Christopher. Second, we've consolidated our marketing functions into one global organization headed by Tom Tedford, who we recently brought into the organization as well to help us better leverage the power of our brands, drive new product development, and further develop our category management capabilities. In addition, he will be responsible for increasing our focus on corporate social responsibility as a strategic competitive advantage and as part of our culture. Separately, we've also formalized a lean Six Sigma team to attack process improvement opportunities in our operational and administrative functions. And finally, we've streamlined our finance organization, creating clearer line of sight reporting relationships in our accounting and business support functions. As I've said before, we're proud of what we've accomplished in the last 18 months, but we've got a long way to go. I think all of these changes will help move us forward. Shifting gears, our 2010 outlook remains largely unchanged. We still expect local currency sales growth of 0% to 2%, with market share gains from the last year's line reviews helping to drive growth. Given our current view of the global economic environment, which calls for continuing volatility in the currency markets, our gross margin expansion is likely to be slightly less than we've previously anticipated. But we will use SG&A leverage to ensure that we deliver bottom line improvement. Importantly, the initiatives to expand gross margin remain on track, and are only being temporarily offset by macroeconomic headwinds. EBITDA margins are still expected to increase by roughly 0.75 to a full point this year over 2009 results. And our long term goal is still to deliver EBITDA margins of at least 15% to 16% on a sustainable basis as business optimism and white collar employment improve. To sum up, we've seen improvements in many of the markets that we serve, but it's still a difficult marketplace. And we will continue to focus on those things that are in our control, prudently managing our costs, improving customer service, investing in product innovation, and aggressively competing for additional market share while defending the business we already have. And now, Neal will provide a more detailed report on the numbers. Neal?
Neal Fenwick: Thank you, Bob. Our second quarter performance is recapped on slide five. Reported sales increased 4%, with the currency adding nearly two points. Volumes increased 5%, with growth in all business segments. Adjusted gross margin increased 200 basis points to 31.3%. The improvement was driven by favorable product mix and lower commodity costs, which were extremely unfavorable last year due to a combination of adverse FX rates and commodity costs. As we expected, SG&A was higher in the quarter, increasing 12% or 160 basis points, 22.7% of sales. Salary benefits and incentive costs increased $9.6 million, mainly due to temporary reductions in the prior year. Foreign exchange translation added $0.9 million to SG&A. All in, operating income improved 14% on a comparable basis, with margin expanding 70 basis points to 8.3%. Contributing to operating income was $1.4 million year-over-year benefit from foreign exchange translation. EBITDA increased 11% to $38 million, and included $1.5 million of benefit from foreign exchange translation. EPS from continuing operations was $0.09 versus the comparable $0.11 from the prior year quarter. Underlying operations improved, but higher interest expense reduced EPS by $0.05 quarter-over-quarter. For the six months, sales increased 5%, with volume up 2% driven by growth in all business segments. As shown on slide seven, adjusted gross margin increased 210 basis points for the six-month period to 31%. Favorable product mix accounted for 100 basis points of the improvement. Lower year-over-year commodity costs accounted for 60 basis points of improvement, which is less than we had anticipated as the commodity costs environment is increasing. Supply chain initiatives accounted for 30 basis points for gross margin improvement. SG&A is up 11% for six months or 130 basis points to 22.9% of sales. Foreign exchange translation added $4.9 million to SG&A. Higher salary benefits and incentive costs added $18.7 million, mainly due to temporary reductions in the prior year. Lower overall expenditures offset these increases by 130 basis points. Operating income for the six-month period improved 20% on a comparable basis, with margin expanding 90 basis points to 7.6 %. Foreign exchange translation added $5.1 million to operating income. EBITDA for the six-month period increased 16% to $71.1 million, including a $6 million benefit from foreign exchange translation. EPS from continuing operations was $0.12 using the normalized tax rate of 30% versus the comparable $0.10 in the prior year six-month period. Higher interest expense in the current period reduced EPS by about $0.10 year-over-year. Turning to an overview of our segments on slide eight, in the Americas, reported sales and volume both increased 5%. The 5% volume growth is a significant improvement over the past several years. Market share gains improved category management, and increased demand have helped to offset continued declines in consumable product categories. Operating income for the Americas increased 48%. And operating margin expanded 250 basis points to 8.5% despite higher employee compensation costs. The increase was a result of lower year-over-year commodity costs and improved product mix. International segment sales increased 2%, with currency adding two points. Volume increased 3% driven by share gains and improved category management. Prices decreased in certain markets, reflecting fluctuations in local currency rates, which also lowered our cost of goods in those markets. International segment profit declined 21%. And operating margin contracted 170 basis points to 5.9% due to increased investment in new product development. Computer product sales increased 8%. And volume increased 7% driven by strong sales of computer security lots and growth in all regions, except Europe. Computer products operating profit increased 16%. And the segment operating margin improved 190 basis points to 25.4%, principally due to substantial improvements in gross margin from a favorable product mix. Slide nine details of our cash flow for the quarter and six months. We generated $24 million of free cash flow in Q2 and finished the quarter with no borrowings on our ABO. We still expect to generate $50 million to $60 million of free cash flow for the year, primarily generated during our seasonally profitable fourth quarter, which is also a period without interest payments. This outlook concludes an estimated $9 million in cash restructuring payments associated with expenses accrued on the balance sheet. We will not have any new charges in 2010 beyond reserved through-ups. Capital expenditure should be slightly lower than previously expected at approximately $15 million. At this point, Bob and I will be happy to take your questions. Operator?
Operator: (Operator instructions) We will pause for a moment to compile our list. Your first question comes from the line of Mr. Reza Vahabzadeh with Barclays Capital. Please Proceed.
Reza Vahabzadeh – Barclays Capital: Good morning.
Bob Keller: Good morning.
Reza Vahabzadeh – Barclays Capital: Though solid volume growths in the US, and you touched on that a little bit existing business as well as gain business, can you just elaborate on that? The volume growth certainly seems to be ahead of some retailer's sales trends.
Bob Keller: Yes, Reza, it is I think a little bit. And I think we've been foreshadowing that for the last six months just given the split in our business between durables and consumables. We said that we thought that the durable part of our business would react and come back faster than the consumables part because we believe the durables is more tied to business optimism and business financial health than it is to white collar improvement. And virtually all of the gain in the US business came from durable sales improvement.
Reza Vahabzadeh – Barclays Capital: Any particular product lines that did well for you?
Bob Keller: No. Honestly it was across the board. All of our durables product lines improved sequentially.
Reza Vahabzadeh – Barclays Capital: And was this reflective of POS trends as opposed to shipments in advance of sales with these?
Bob Keller: It is. It is reflective of the sell-through of product.
Reza Vahabzadeh – Barclays Capital: Got it. And then, on the FX funds, you mentioned that that was helpful to EBIT and EBITDA. Can you just touch on the mechanics of how that was helpful and how that can play out for you in the second half?
Neal Fenwick: Hi, Reza. There are two different aspects to foreign exchange. The first one is just simply translating our results from the local currencies that we traded into US dollars. And in the first half of the year, that was favorable. When we flip into the second half of the year, particularly in Q4, if interest – if foreign exchange rates stay the same as they are, that will become unfavorable. And so, although it was favorable in the first half, it will become adverse in the second half with Q4. The net effects of sales and EBITDA are in operating income translation. The second aspect to foreign exchange is what it does to our cost of goods. And there's a time delay in cost of goods versus what you're paying at the vendor level. And the reason for that is it runs through the inventory cycle that's fundamentally delayed for about three months. And so, what we have seen is the very low levels of the euro in particular and UK pound have significantly increased our cost of goods in Europe. And we saw some of that effect comes through in Q2, but we will see more of that impact to business in the second half of the year. And so for us, the increased cost of goods will be a drag on the business in the second half. And although we did put through some price increases for July 1 in both Europe and the Americas, it was really to offset other cost increases that had already occurred. And we will be playing a bit of catch-up with the January price increase to offset the full impact on our business.
Reza Vahabzadeh – Barclays Capital: Got it. And then, you lowered your CapEx and your cash tax forecast for 2010. Is that timing? Is that going to get pushed into next year? Or is that a permanent change?
Neal Fenwick: CapEx is really a function of what we're trying to do with the business. And so, one of the projects we've slowed down, and it will have more impact next year than this year, is an IT project that we had in Europe. We reorganized the way we were implementing it, which is the main reason for the low CapEx. Though it will increase our CapEx next year, but it's no more than we've already foreshadowed, which will be in the $20 million to $25 million range next year. And the cash tax lowering is really fundamentally driven by a situation I think most people appreciate, which is we are paying no US tax at the moment, but were paying international taxes. And with more profit effectively coming through in the US side of our business, and less profit coming through on the international side, we'll have less cash tax exposure.
Reza Vahabzadeh – Barclays Capital: Got it. Thank you very much.
Operator: Your next question comes from the line of Arnie Ursaner with CJS Securities. Please proceed.
Arnie Ursaner – CJS Securities: Hi, good morning. I think over the last few weeks your stocks have been hit pretty hard. People have been quite concerned about the euro versus the dollar, and the whole situation with Europe and how that could impact your business. Maybe you could step back and freshen up your exposure to Europe, what you are currently seeing in that marketplace, and your outlook for the balance of the year in Europe?
Bob Keller: Europe represents about a quarter of our business. And honestly, in the second quarter, the volumes in Europe were stronger than what we expected. We actually had volume growth in Europe in the second quarter. From a demand point of view, our expectations are that we're going to continue to grow that business based on the market share gains that we've had. We appreciate that it's a difficult marketing environment. And on the currency side, we've got a little bit of a hedge just based on our inventory, on our supplier relationships, and on the hedging that we do. And so, our expectation is still that we're going to be able to deliver the bottom line that we've been speaking to.
Neal Fenwick: Also, what (inaudible) Europe isn't one country like the United States? It's a series of countries. And there's a big north-south dividing Europe between the southern parts of Europe, where the economies are particularly poor. And we have almost no exposure there. And so, our main exposure in Europe is to places like the UK, France, Germany, and Holland. And those economies are much more robust than the likes of Spain, Greece, and Portugal, and the southern latitudes.
Arnie Ursaner – CJS Securities: My second question relates to your increase in comp, which one of the key elements of that is the Cliff [ph] executive bonuses that hopefully are being accrued. Can you freshen up, if you can, how much of the $18.7 million relates specifically to the Cliff bonuses that are hopefully being accrued and how we might think about that line item in the back half of the year when percentage-wise an even greater amount might be accrued?
Neal Fenwick: There are two separate answers I'll give you, Arnie, first of all, from a US GAAP point of view, you have to accrue on a projected basis. And so, the accrual is always based on where you think you're coming in. Our accruals at the moment, as of the first half, would have amounted to about $4 million, which would imply we're assuming about an $8 million cost for the year, which is less than we had assumed coming into the year.
Bob Keller: We're accruing at something a little north of 50% of what our plan was, which says that we've still got a fair amount of cushion left in the plan.
Arnie Ursaner – CJS Securities: Okay. Thank you very much.
Operator: Your next question comes from the line of Bill Chappell with SunTrust. Please proceed.
Bill Chappell – SunTrust: Good morning.
Neal Fenwick: Good morning, Bill.
Bill Chappell – SunTrust: First, I think I understand the durable side continuing to outpace consumables, but a little surprised when you said, "Consumables were down year-over-year." Is that just more lacking higher unemployment numbers? Or are you seeing stabilization as moving to the third quarter? And do you expect this as w move to the end of the year?
Neal Fenwick: So when we said that's down – that flat would be an easier description. They're very slightly negative. And a lot of that's driven by European demand where there's – which is lacking.
Bob Keller: And I think the consumables part of the business is more of a better reflection of how the industry as a whole is performing.
Bill Chappell – SunTrust: Got it. I guess, Bob, on that, maybe from ACCO's perspective, what has changed from the environment from the March quarter to the June quarter? Have we gotten better? Are we pretty much flat? Are there real signs of encouragement for the second half?
Bob Keller: I don't know that real signs of encouragement. We said it at the end of the first quarter that we're seeing spend of – bouts of optimism in the first quarter related to the durable side of our business, which again we believe is related to business optimism and business' financial health. Our performance in our – in the durable side of our business was much more consistent in the second quarter than it was in the first quarter. The employment numbers are marginally better, largely driven by temporary labor. But that tends to be the step before people hire permanently. So full time, like our employment, I think the last time I looked, was down less than 1%. But temporary labor was up almost 19% year-to-year. And so, we're seeing a little bit of the pull-through on that. We are, as everyone else is, concerned a little bit about the economic recovery in Western Europe. And we're watching that closely. But so far, it hasn't impacted demand. And so, we feel pretty good about that. And on a global basis, we feel good about how the Americas are performing. We feel good about how Australia is performing. We're cautious about Europe. APEC continues to perform well. Latin America continues to perform well. So we are cautiously optimistic about the environment. It's still tough out there.
Bill Chappell – SunTrust: Sure. But it sounds like – I think we just said earlier, you're fairly confident that you can pass off price increases as needed going into 2011.
Bob Keller: Yes. We have initiated discussions with our customers about that. And we are not looking to use price increases as a vehicle to grow our business. We're using it just as a vehicle to pass through costs that everyone is seeing on a global basis. So raw material increases and currency fluctuation changes are the kinds of things that we want to pass along. We use external measures with our customers to measure those through indexes. And we're going to sit down over the next 60 days with our customers to talk about that in specific detail. But yes, it's our intention to be neutral on the impact of raw material and currency fluctuation.
Bill Chappell – SunTrust: Got it. And then, just one last one, and based on – assuming there is no pickup in the overall environment, are you still comfortable? Or can you grow top lines through market share gains in 2011?
Bob Keller: We are. The line review process this year is a little later than last year. I think just given how challenging the economy was globally in 2009, everyone did line reviews on almost everything in order to try to squeeze some profit out of the next. And the implementation of some of those line review changes has been maybe a little slower than a lot of us would have liked given that we were a net winner in that process. And I think this year people are taking on a little bit measure – more measured approach. And they're more back half loaded. But we like that we are competitively positioned. We still think that there's a significant opportunity to take share back. And we are competing aggressively.
Bill Chappell – SunTrust: Great. Thanks so much.
Operator: Your next question comes from the line of Derek Leckow with Barrington Research. Please proceed.
Derek Leckow – Barrington Research: Thank you. Good morning.
Neal Fenwick: Good morning.
Bob Keller: Good morning.
Derek Leckow – Barrington Research: It's good to see that you're calling back some market share. And it's not coming at the expense of margins. And I just wondered if you can maybe characterize the growth – the volume growth rate in your retail businesses versus your commercial. And is there – are you seeing similar trends across each channel?
Bob Keller: Again, I think it comes down to the – our minds are split between durables and consumables. And the durables purchases would tend to be more on the commercial side than through our direct business. And so, we feel better about business optimism than we do about consumer confidence.
Derek Leckow – Barrington Research: That would correspond with some of the comments I heard this week from some of the retailers in terms of their volume trends.
Bob Keller: Yes.
Derek Leckow – Barrington Research: So which brands are the one – is it more of the boards business? Or which business is really the strongest in terms of the durables?
Bob Keller: It would be our binding and laminating, and boards business. Our stapling business is up, and so computer products, those kinds of things. So the brands would be GBC, and Quartet, and Swingline, Kensington, NOBO, Rexel.
Derek Leckow – Barrington Research: Okay. And these trends, it looks like you're expecting them to continue into the back half of the year. But then, I just wanted to have you reconcile the guidance that calls for 0% to 2% growth. Is that being offset by the pricing that you've mentioned or what else is offsetting that in the back half?
Neal Fenwick: From all perspective, there are two issues. FX is going to be perceived to be a big issue for us in the fourth quarter. But we tend to exclude that from our guidance, as you know, because we can't control it, and for us to fall via top of comp year-over-year just because of some of the things that happened last year.
Derek Leckow – Barrington Research: Okay. So I'll keep that in mind. And then, on the expenses side, one of the issues that you had alluded to in the prepared remarks was freight and distribution as being a targeted area. And I know with your centralization you've had some cost benefits there. What was freight and distribution as a percentage of sales and if there's still room to improve that? Or are we going to see that maybe tick back up again? I know there's been some tightness of supply out there in terms of freight distribution? So I wanted to get a better–
Bob Keller: We've gotten a little bit better. I think 30 basis points of our gross margin expansion was due to the initiatives that we have on supply chain. I think we actually feel pretty good about where we are from the distribution portion of this to take, in fact. We're not particularly happy about what we're – what's going on in freight. Part of that is the external costs have risen. The shipping cartels out of Asia have raised cost above what our original expectations, wherein part of this is that we're not executing as well as I'd like us to. And we still have significant opportunity there. So we said that we thought that there were ultimately probably 200 basis points of improvement in F&D on a normalized basis. And we still believe that that's true. And we've only gotten a fraction of it.
Derek Leckow – Barrington Research: Okay. And just one follow-up to that, some of the newer products that you have in the pipeline, are there any new launches that's going to happen in the back half? Or have we already seen that now in the front half?
Bob Keller: In a very large measure, you've seen what's going to be out for the remainder of this year. Probably, the one exception to that is we're bringing an auto-feed shredder to the marketplace, which is a patented product, an outstanding product, where you can put 100 sheets of paper into an auto-feed mechanism on a shredder and walk away. And it's new to the marketplace. It's innovative. It's priced competitively. And we think it's going to give us an opportunity to be more competitive in the shredder side of the business. Some products that we launched earlier this year in Europe, we're going to bring to the US in the back half of the year. Our capture product, which is a flipchart pad that you can electronically move information from the pad itself to your computer. And we're going to bring clicks to the marketplace, which is our replacement for the paperclip. For those that don't know, ACCO stands for the American Clip Company. We were the first manufacturer or paperclips. And we're going to actually take that market back. So we're pretty excited about that.
Derek Leckow – Barrington Research: Okay. Great. Well, thanks very much.
Operator: Your next question comes from the line of Karru Martinson with Deutsche Bank. Please proceed.
Karru Martinson – Deutsche Bank: Good morning.
Bob Keller: Good morning.
Karru Martinson – Deutsche Bank: In terms of the July 1st price increase, what was the feedback that you guys got from retailers and the acceptance there?
Bob Keller: Again, I think historically, ACCO had viewed price increases as a way to grow the business. And we don't view it that way. The perspective we have is that there're going to be fluctuations in the marketplace relative to raw material costs. And there're going to be fluctuations based on currency volatility. And those should be neutral to our relationship. And we're in an environment where those have gone up. And so, we're passing on price increases, our customer's expectation. And it's correct that if those things came down that we would pass along a decrease. And that's what happened. The price increase for – that we instituted in July is reflective of the back half and very early part of this year market conditions. And there's six to nine-month lag on that. And the one that we're going to talk to you about for January 1st is reflective of the first half and very early third quarter of this year. So our customer's reaction is any time that there's an increase, they don't like it. It makes their world tougher. We appreciate that. But they also appreciate that we're not trying to gain. And so, it is what it is.
Karru Martinson – Deutsche Bank: As a market leader, do you feel that people are going to be following this one or you guys – you have widening net price gap there?
Bob Keller: Honestly, we think that everyone is going to do this. This isn't something that is unique to us. Steel has gone up pretty dramatically. Now, most of the manufacturers in the industry are buying in dollars and selling in local currencies. And everyone is facing the same issues, including our customers when they're doing their own private label stuff. So this is – it's not like this – any of the stuff that we're talking to them about is a surprise to anyone. And that is merely a reflection of the components of the products that we sell, which are consistent across our competitors in the marketplace.
Karru Martinson – Deutsche Bank: On freight and delivery, we've been hearing a lot in terms of constraint in supply of shipment containers. Obviously, prices have risen. Are you having any difficulties getting product to markets? And what's the outlook there?
Bob Keller: We've been ahead of it so far. I think our team has done a great job. Everyone is paying a premium over what we can into the year with, but we've been able to manage shipments. We haven't impacted our customers' line on time and complete metrics at all based on shipping requirements.
Karru Martinson – Deutsche Bank: And just lastly, in terms of the private label opportunities, it's going to be a focus for you guys going forward. What's the timeline here for rolling out or the development of those relationships?
Bob Keller: Yes, the issue is less about us trying to dramatically expand our private label capabilities. It's about wanting to help our customers manage categories. And to do that, you have to be willing to compete at the opening price point products. And we are willing to do that. But in a scheme of things, it is not in our best interest, to our customers' best interest for them to sell a bunch of the opening price point. But they need it in order to have a competitive fighter brand in the marketplace. And so, we have talked to all of our customers about our willingness to do that as part of our category management strategy. But we are largely unchanged a year later in spite of the increase in volume in terms of the percentage of private label we do. We actually see more of our customers moving towards branded products than towards private label products in terms of what their preference is. So it hasn't had an impact to us.
Karru Martinson – Deutsche Bank: All right. Thank you very much, guys.
Bob Keller: Sure.
Operator: Your next question comes from the line of Arun Seshadri with Credit Suisse. Please proceed.
Arun Seshadri – Credit Suisse: Good morning. Thanks for taking my questions.
Bob Keller: No problem. How are you doing?
Arun Seshadri – Credit Suisse: Good. How are you?
Bob Keller: Good.
Arun Seshadri – Credit Suisse: A few questions, first, your product investment that you talked about in international, can you talk about how – give us some color on what areas you're focus on. And then, how should we think about the next few quarters in terms of operating margin impact of those product investments?
Bob Keller: I think the single biggest thing that is different now versus a couple of years ago is that we are introducing new products that we have developed in Europe before we introduced them in the US because the European line reviews and their catalogue process is actually several months earlier than the US. And so, what we used to do was we released in the US, and that would mean, by definition, that Europe was a year behind. And it would give our competitors an opportunity to see what we were going to do in Europe, and have a year to respond to that. That wasn't particularly crisp. And so, we flipped that. And we brought out our capture product, which is the electronic flipchart pad in Europe first. And we've taken the learnings from that as we released it in the US in the fall. And so, Europe will be a lead market for us now as opposed to a trailing market. And our expectation is it's going to allow us to be more competitive in the line review process.
Neal Fenwick:
Arun Seshadri – Credit Suisse: Got it.
Bob Keller: One of the things that we did a week or so ago was we consolidated marketing under one individual on a global basis. And part of the rationale for that is just what I was talking about. We want to make sure that as we do things in Europe that we're able to leverage those on a global basis much more effectively than we had before. And our customers are becoming more global. So if you listen to Office Depot, they clearly have an emphasis on their international business. And that part of business has been performing well for them. Staples acquired Corporate Express, and just acquired the remainder of that business in Australia. And both of those businesses are global businesses. And we need to – our organization needs to align with their organization in terms of what they need in order to grow their business.
Arun Seshadri – Credit Suisse: Makes sense. Then in your computer products business, just wanted to confirm, still most of the strength you're seeing is all security lock driven. Is Europe still weak? And then, just in terms of growth, still a very strong growth, but a little bit lower than the previous quarter. Should we just continue to see that slightly moderate over the next couple of quarters as it returns to a stable level?
Neal Fenwick: You're talking to computer products specifically?
Arun Seshadri – Credit Suisse: Yes, that's right.
Neal Fenwick: So for computer products, the business area has been one that has recovered quicker economically than office products. And so there has been an increased in spend, which was been particularly been driven through the markets, which are more advanced from an economic point of view. In Europe, we have some specific factors in that market mainly associated with parts of the retail environment in Europe, which is making Europe look less attractive between the first half of the year. As Bob mentioned earlier, from an office product side, we have seen an improving trend in Europe. And so, my expectation is that you will see pretty sustained performance through the second half. But you will – it's more balanced going into the second half as the US starts to lap strong results in the prior year and Europe starts to improve versus prior year.
Bob Keller: The other piece of that is you asked about security, and yes, that is a focus. We're seeing two trends going on in the marketplace. One is durables are recovering and people are starting to buy laptops and things like that again. And there's clearly a correlation to that in our product sales. But the other thing is just given how tough the economy is, how challenging the economy is, the increase in computer theft is significant. Actually, on a reported basis, it's the highest it's ever been for the last four quarters. And so, there is a correlation to laptop sales and the sales of our security products. We think we're a mitigating factor.
Arun Seshadri – Credit Suisse: Got it. That's been extremely helpful. Thanks. And then, I just wanted to get a little bit more clarification on what you said on gross margin expectation for the year. Previously, it looked for 200 basis points to 300 basis points. But now you've said a little bit less, obviously given all the macroeconomic factors. Could you pass out macroeconomic versus FX per se? And then, can you talk about scale in terms of how much you expect gross margins to be weaker, and therefore, need to be made up via SG&A reductions?
Bob Keller: I don't know that we're going to get into that level of specificity. We think the FX thing is part of the macroeconomic environment. And our expectation is that it's going to be more challenging in the second half. And so, we don't know if we're going to be able to deliver what we originally said. We do believe that whatever happens, we're going to be able to balance it with managing our SG&A costs, that we're going to be able to deliver bottom line dollars.
Neal Fenwick: And the easiest way to think about FX is in terms of commodities. We start to think about the cost of steel in the US up about 20%. In the euro, it's up about 40% because of the currency impact on top. And so, that's a big piece that you have to look at. When we call at our own gross margin slide, if you look at the deck of slides that we included in slide seven, we then called out specifically what happens to FX in terms of cost of goods because that's what (inaudible) what we do with price. And so, our job in the international markets is to move price with foreign exchange moves. And in fact, if you look at the biggest impact on our business in the first six months, it's actually price reductions going through the international market. And that was due to the recovery of things like the Australian dollar, which was a significant flip around. And with a price increase – price reduction as we put through – exactly as Bob described earlier as we respond to the market to reflect that through to a neutral point growth.
Arun Seshadri – Credit Suisse: Okay. Again, extremely helpful, the last question for you, could you just talk about volume linearity during the quarter? And then, just talk about channels. And how, if there's any, variation across the channels? And that's it. Thank you.
Bob Keller: Honestly, it's still lumpy on a week-to-week and month-to-month basis. But it was more consistent than it was in the first quarter. And we think the combination of increased business financial health, the increase in temporarily labor have contributed and will continue to contribute to strengthening in that part of the marketplace.
Arun Seshadri – Credit Suisse: Thanks, guys.
Bob Keller: Okay.
Operator: Your next question is a follow up from the line of Arnie Ursaner with CJS Securities. Please proceed.
Arnie Ursaner – CJS Securities: Yes. As a follow-up to the question you just had, the price decline of 2% or so in the quarter was a little surprising to me given your much higher costs. I think you just touched on how Australians and some other things could impact it. But I just want to clarify why – where we saw the price declines in Q2?
Neal Fenwick: The significant price declines that appeared in Q2, a lot of that was driven by our international business, where you have exactly what we described earlier. The same effect happened in areas like Canada, which appeared in the Americas market. And also, part of the change a little bit in terms of this year versus last year is what's happening on customer rebates. So customer rebates this time last year, we released significant amounts of rebate reserves in the second quarter. And this year, we don't have rebate releases. And therefore, it looks like a price increase in the way we do the analysis – sorry, a price decrease in the way we do the analysis.
Bob Keller: And obviously, the implication of that is last year, people weren't meeting their volume commitments. And this year, they are.
Arnie Ursaner – CJS Securities: And Bob, could you give us an update on the mass market. I know you obviously have a number of products that were working their way into the math's channel. But until you could get your – the previous products out of the marketplace and your customers sold its inventory, it was more going to be a back half of the year process. Can you freshen up where we are in this process?
Bob Keller: Yes. Honestly, we feel great about the impact that we've had in that market and that they've had, frankly, on us. Our relationship with Wal-Mart and Target are terrific. The sales of our products into both those customers are exceeding our expectations. And from a service point of view, we're doing a terrific job for them. And this is an important season for us because they compete very aggressively, obviously, in the back-to-school season. And we're looking forward to seeing how that plays out.
Arnie Ursaner – CJS Securities: And a question for Neal. Can you highlight your priorities for free cash flow? And specifically, do you have any upcoming debt payments we should all be thinking about?
Neal Fenwick: Well, just from a seasonality point of view, Arnie, we will generate cash in the third quarter. But we briefed our interests now twice a year in Q1 and Q3. And so, most of the case we generate in Q3 will go out the doors in interest payment. And so, effectively Q4 is going to be when we generate the vast majority of the cash flow for the year, effectively, in the way the cycle looks now. And so, part of what we will do in our cash is look to build some cash on the balance sheet a little bit, partly because we know some of it disappears in Q1. And partly because in the long term, what we've always said is we want to get to the point where our senior secured leverage gets to the right leverage tests so that we have more options as to what we do the cash. And that'll be some time in the future in 2011. But it's really driven by improving EBITDA as much as it is getting all that down.
Arnie Ursaner – CJS Securities: But acquisitions are not in the near term horizon the way you're looking at your cash flow and balance sheet. Is that a fair way to think about it?
Bob Keller: I think if there was an acquisition, that would be opportunistic, something popped up that we – made an awful lot of sense, and would be either an incredible competitive advantage moving forward or would be accretive in the near term.
Arnie Ursaner – CJS Securities: Bob, good luck in your upcoming family event. See you soon.
Bob Keller: Thanks, two-and-a-half weeks to go to Sarah's [ph] wedding waiting, so everybody is a little nervous at this point. There aren't anymore questions. I appreciate everybody joining us today. I think we're very solid – a very good second quarter. And we're proud of what we've accomplished. And we appreciate that we've still got a long way to go. And it's a tough world that we're competing in. We're committed to delivering to our customers, to their customers, our consumers, our employees, and our shareowners. And again, thanks for joining us today.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect your lines. Good day.